Operator: Thank you for standing by. This is the conference operator. Welcome to the Nexus Industrial REIT Fourth Quarter 2022 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Kelly Hanczyk, Chief Executive Officer. Please go ahead.
Kelly Hanczyk: Thank you. I'd like to welcome everyone to the 2022 year-end and fourth quarter results conference call for Nexus Industrial REIT. Joining me today is Robert Chiasson, the Chief Financial Officer of the REIT. Before we begin, I'd like to caution with regard to forward-looking statements and non-GAAP measures. Certain statements made during this conference call may constitute forward-looking statements, which reflect the REIT’s current expectations and projections about future results. Also during this call we will be discussing non-GAAP measures. Please refer to our MD&A and the REIT’s other securities filings which can be found at sedar.com for cautions regarding forward-looking information and for information about non-GAAP measures. So in the last two years, we've been focused on the high grading of our industrial portfolio. In 2022, we continued with this strategy closing on 16 high quality industrial properties. We have five more A Class new build properties, two of which are unit deals coming online throughout the year, which will add about another 1 million square feet to our portfolio. We have a solid pipeline of additional acquisition opportunities, including unit deals that we're currently reviewing. Our development pipeline is strong and we are preparing to break ground on two sites to spring. So in the Southwestern Ontario and London, we are getting ready to break ground on a 100,000 square foot addition to our building at 1285 Hubrey Rd. There's significant demand for the addition as we are working through three possible tenants where we're seeking to maximize our returns for the site. It also looks good for two existing tenants’ expansions in the Southwestern Ontario portfolio to add another approximately 65,000 square feet each of expansion in space to their existing premises. We're currently finalizing the build cost for each of these to see if we can move those forward. As mentioned previously, the REIT has 22 acres of excess land at the Titan Industrial Site in Regina, Saskatchewan that was acquired in February 2022. We will be constructing a new building here of approximately 312,000 square feet. We now have a signed lease in place for a minimum 200,000 square feet with a strong covenant tenant. We also have offers out to two additional prospective tenants for the balance of the space. The tenant breaking ground here in April, which will lead to, I think, a spring 2024 delivery or early late winter 2024, early spring. This still leaves us with about 6.5 acres of developable land left at this site. The development side will continue to be a focus for us over the next several years as our developments will provide outsized returns to the REIT. We continue to have an active pipeline of off market opportunities and we'll continue to recycle capital into both developing the aforementioned sites and higher returns within our existing portfolio, newer Class A industrial opportunities with solid annual increases, in assets where we see the ability to increase rent significantly on renewals. In Richmond, BC, we had a bit of a setback in Skate Canada, which was supposed to occupy half of the newly renovated 60,000 square feet, executed determination provision allowing them to back out of the lease just weeks before taking possession of the space. We pivoted quickly and we're working with the other tenant to repurpose the space into a private racket club called the Greater Vancouver Sports Club, which is now online with a focus on pickleball, which is North America's fastest growing sport. We'll include 36 indoor and outdoor courts, but well underway with the conversion, it’s moving very, very quickly and the site looks fantastic. They're currently taking memberships and we hope to have them live at operational by mid-summer. We continue the process of reallocating and high grading our portfolio by selling some of its office retail and non-core industrial buildings and reinvesting the proceeds to acquire high quality industrial buildings creating an institutional quality portfolio. I mentioned last quarter that the REIT was under contract to sell a four property portfolio of smaller industrial properties in Saskatchewan, that deal is now dead. We do have one smaller one still under contract. We are currently under a firm agreement to sell our grocery anchored retail property in Victoriaville, Quebec, so post sale of this Victoriaville property over 90% of the REIT's NOI will now be derived from the industrial properties. This will continue to grow throughout the year as we close on all the aforementioned acquisitions, so it looks pretty positive that will be by the year-end approaching the 94%, 95%. I'll now hand it over to Rob Chiasson to give greater detail of the REIT's financials.
Robert Chiasson: Thanks, Kelly. Year-over-year same store NOI was up $400,000 or 2.2% for the quarter, benefiting from strong renewals in Southwestern Ontario. Approximately $150,000 of the year-over-year increase is attributable to items that will not recur in 2023. However, we expect that strength in the Southwestern Ontario market where we have approximately 400,000 square feet expiring in 2023 will continue. Partially offsetting will be the expiry of two leases in Western Canada where renewal rates are expected to be lower than expiring rents. Acquisitions completed on November 1 contributed approximately $450,000 of NOI in the fourth quarter and will contribute approximately $200,000 of additional NOI in Q1 2023, when they are owned for the full quarter. As Kelly mentioned, the repositioning of approximately 60,000 square feet at our Richmond, BC property was anticipated to be complete in the fourth quarter and this has been delayed in the third quarter of this year. Upon completion, this is expected to have an approximately $600,000 positive quarterly NOI impact. Interest expense was up approximately $600,000 in the fourth quarter as compared to the third quarter. With higher levels of debt from financing $80 million of acquisitions completed in the second and third quarters. More of the REIT's debt was also in the form of floating rate interest. Proceeds from the offering completed in December were used to pay down debt and the March 7th $117 million acquisition of the four distribution center in Casselman, Ontario was financed with variable rate debt drawn on the REIT's unsecured credit facilities. $80 million of proceeds from the December offering and the establishment of $375 million unsecured credit facilities provides the REIT with the flexibility required to fund the announced acquisitions and certain of the REIT's development plans. We are monitoring the markets and we'll consider swapping variable rates under the credit facility for fixed as and when swaps are priced in acceptable ranges. In 2023, we have approximately $50 million to mortgages with a weighted average interest rate of 4.26% maturing. The five-year Government of Canada bond yield was approximately 2.8% this morning. If maturing mortgages were refinanced with five-year mortgages, there wouldn't be a significant spread on refinancing based on today's bond yields. I'll now turn the call back to Kelly.
Kelly Hanczyk: Perfect. Thanks, Rob. On this lovely day in the Capital Markets, we'll open up the line two questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] First question comes from Kyle Stanley from Desjardins. Please go ahead.
Kyle Stanley: Thanks. Good morning, guys.
Kelly Hanczyk: Good morning.
Kyle Stanley: So just looking for a bit more information on the Victoriaville disposition, you know, I'm just curious on cap rates where the value received compares to your IFRS values and maybe just the timing of the deal?
Kelly Hanczyk: Rob?
Robert Chiasson: So the Victoriaville disposition is roughly in line with carrying value as at Q4. However, the carrying value was adjusted to reflect the selling price. I believe the deal is expected to close in April, towards the end of April, Kelly.
Kelly Hanczyk: Yes.
Robert Chiasson: And cap rate, I'm not certain offhand. Just one second.
Kelly Hanczyk: Yes, I feel, Kyle was a decent offer considering the market. I think we're happy with it.
Kyle Stanley: Okay, fair enough. Just going back, you know, there's been more focus on the development opportunity within the REIT this year. I think you walked through in your prepared remarks and in the disclosures, starting development in Regina, the 100,000 square feet in London. You've got the projects in Hamilton, so I'm just wondering what else could you start? I think you did mention some stuff in Southwestern Ontario? And what does your development capital budget look like for 2023?
Kelly Hanczyk: Yes. So let me start. So the London one, we are breaking ground in April, we'll start to move earth in April, it’s in for permitting. We had an offer on it already, but one of our existing tenants looks like they want it in the offer is much higher a return for us. So we're slowly working with them on -- I guess, a broader deal, I would say, that enhances our return on that site. So I think that could be a real home run. It'd be probably at least I'd say at least a 10% cash-on-cash yield on that site. The two in that I mentioned, the expansions 65,000 square feet each, one of them apparently has got Board approval, we're just going through final costing for them, and I have negotiated just a return on that deal. So we'll see if that gets through. So it depends on, I think, what the final pricing is on there. The other one in Windsor, that's the other one. They contact us the other day just to firm up pricing to get final approval for them. And then in Regina, that one, we will be breaking ground shortly -- very shortly, because we have time constraint to get the tenant in there. But it doesn't look like it's an issue, but pricing has come in pretty good. I think our return there is going to be somewhere around an 8.75% cash-on-cash. So, pretty good for Regina, it will be a brand-new build. We have one tenant already. We have -- we're working on a couple of more to fill the space. So, pretty positive that would be 100% full by the time we're finished. And then we've identified other potentials in London, Ontario. That we have, but they're a little bit down the line, I'd say those are next year type projects for us. And then on the Hamilton development sites, I think two of them are longer term, one of them could possibly break ground, I'd say early next year. So at the end of the day, I think we see outsized returns from our existing portfolio versus what you can get in the market. So Rob will talk -- Rob will just jump in here on the capital side.
Robert Chiasson: Yes. So we've got developments in various stages, the Regina project is roughly a $43 million development anticipated to be roughly $43 million development. We're probably looking at about $75 million of development costs and then the majority of that will be financed by construction financing and the equity component would be the remainder.
Kyle Stanley: Okay, perfect. And just one last one for me. I think you made mention of the assets held for sale and maybe the dead deal on the four non-core industrial portfolio. I'm just curious the -- what's included in that, the held for sale now, I'm assuming the Victoriaville asset, but maybe what else?
Robert Chiasson: Yes. So it's the Victoriaville asset, it’s office properties that we previously were selling, I believe three Montreal office -- suburban Montreal office properties. And yes, so the four properties?
Kyle Stanley: Okay, perfect.
Kelly Hanczyk: And just some color on that on the office properties, Kyle, two of them have some term to them, one of them has lower term, but two of them are -- we're in the process of the two main tenants are under renewal right now that we're working through the renewal and that looks good that they're both renewing. So getting term on those will help potential sale down the line.
Kyle Stanley: Okay. And I guess are those being actively marketed right now or are you kind of waiting for maybe stronger period in the summer? How are you thinking about that?
Kelly Hanczyk: So what I'm doing is, I'm going to walk down the two renewals first and then wait probably, well, we'll see how the markets are right now. It's a little volatile all over the place, so we’ll wait for the best time to do it? Or we’ll soft market with some groups that we've been dealing with and see if we can get something done there?
Kyle Stanley: Okay. Fair enough. I will turn it back. Thanks, guys.
Kelly Hanczyk: Thanks.
Operator: The next question comes from Gaurav Mathur from iA Capital Markets. Please go ahead.
Gaurav Mathur: Thank you. Good morning, everyone.
Kelly Hanczyk: Good morning.
Gaurav Mathur: Just when you're thinking about future development initiatives, can you just discuss how development yields may have changed across your markets when compared to a year ago?
Kelly Hanczyk: To be honest, like, we're looking at developing where -- Regina, we had that site, we bought it with the land and it had a development plan. We just went out marketing it to find a tenant. So we have a large tenant. So we will begin to go there. It's a very strong covenant, so it's a little bit of a no-brainer for us to go on that one. London, we were doing spec. It -- I guess, technically is still spec, but we do have three groups that are kind of clamoring for the space. So overall demand is still really strong, especially in Southwestern Ontario. We had a tenant that was looking to leave and thinking they could go build their own building. And now, they did a short-term renewal, and they're coming back to us saying, we have nowhere to go. And so, it's positive from the fundamental side of where we're looking to development.
Gaurav Mathur: Okay, great. And just lastly, we noticed the fair value losses on the investment properties. Do you think there is more price discovery that's yet to happen, or are we somewhat in the later innings as far as valuation re-ratings are concerned?
Robert Chiasson: Well, I guess, that's a question of where we think cap rates in the markets are going. But I think we've reflected the changes in cap rates to this point. I don't think there's anymore adjustment required on the books. Kelly, I guess, maybe you can comment on where you see cap rates going in the future.
Kelly Hanczyk: Yes. I see it all over the place. There's portfolios out that I'm seeing in the low-4s, and it depends on the quality, it depends on a whole bunch of different things, but I think what we did in this quarter was go through ours and make some adjustments, just because there has been some cap rate decompression. But we weren't overly aggressive in the past of taking write-ups. So at the end of the day, I think what we have pretty fairly reflects that, I don't see any more adjustment coming in the short-term anyway unless, God forbid, the markets absolutely collapse. But I don't see that happen. There is still strong demand in the industrial sector. It is really strong, even where I thought the one office building that we have there that we had two tenants coming up, one of the smaller suburban, and it looks like they both reached out to talk renewals. So, looks pretty positive for us.
Gaurav Mathur: Great. Thank you for the color, gentlemen. I'll turn it back to the operator.
Operator: The next question comes from Munish Garg from Laurentian Bank Securities. Please go ahead.
Munish Garg: Thank you, and hi, everyone. Congrats on the great results. Just to start on the Q&A, just a bit more color on Richmond, BC. So could you please remind us the timeline on the completion of the entire project and whether right now you're looking for any sort of exit strategy over there, or it's a bit too early for that?
Kelly Hanczyk: So, no, it's a good question. So like I said, we were turning over to get two different tenants. I'll try to give more color. One of them was -- we had started, but we've given them a break, because they were relying on Skate Canada as part of their business, and we've done a shift. And so, the site has gone a major -- over a major overhaul, so it looks fantastic. And they're up live on the private, call it, pickleball club, but racquet club, it’s going be Badminton, Pickleball, and Padel. And pickle is one of the top growing sports in North America, actually is the top. So without even marketing, their membership list is growing really quickly and they haven't even launched the marketing yet. So I think it -- hopefully, is sooner than later, because we're well underway. The courts are in, they just have to paint the outside courts, so it's taken a little bit of a delay, like, we are ready to turn over and had done a walk-through two weeks before. And because of COVID, we had a delay, obviously, and they did have a note, if we didn't hit a certain date and then they surprised us with a notice to not follow through on the lease. So, at the end of the day, I think it's overall positive for the site, because I think the racquet club will be a huge success. Looks fantastic, there's pretty big demand for it. And so, we're delayed, call it, I don't know, where we thought, we would get rent December, looks probably -- I'm thinking it's June, July. I could be surprised to the positive, but that's what I'm thinking is July, sometime July. So at the end of the day, we have, kind of, shifted plans on the development as well. So because we now have the front of the building where our green space was that's courts -- going to be courts the footprint of our expansion that we have. So we are still planning on about 74,000 square feet there that we will go on, I'd say, end of the year. And it just takes away some of the land, which would have been bonus density. So I think the plan for the site as a whole is to build a 74,000 square feet. And then once we're done that, we will look to exit that site. So I would think at some point in about a year, year and a half, we would look to exit and then redeploy that capital elsewhere into pure-play industrial, like we've been doing for the last two years.
Munish Garg: Okay. Thank you. And just one more for me. Just on the acquisitions that you announced, could you please provide a range on the cap rates for those acquisitions?
Kelly Hanczyk: Sure. I'd say, overall, there in the -- let me just think here, between 5% and 6% or there's a couple more, so call it 4.75% to 6%.
Munish Garg: Okay. Thank you.
Kelly Hanczyk: One more comment on Richmond just, as I say, on the exit. So we would look to separate title everything, and then I think that's how we can maximize value on the site and then sell the units individually.
Munish Garg: Thanks a lot.
Operator: Your next question comes from Brad Sturges from Raymond James. Please go ahead.
Brad Sturges: Hi, there.
Kelly Hanczyk: Hi, Brad.
Brad Sturges: Just to continue on with Richmond there for a second, just with Skate Canada, can you remind us of what the size of the space and the rent was? And then what would be the conversion cost to get the new Pickleball tenant in?
Kelly Hanczyk: Yes. So I think we're throwing a couple of million bucks in there to get it done, but so is the developer, he is throwing in quite a bit of capital of his own. So at the end of the day it's not enormous for us, and I believe -- we're working a new deal with existing tenant. So they were like, I think, $52 and Skate was, call it $30, kind of, blending them that, the overall space, was going to be around $39, $40 a foot.
Brad Sturges: What was the -- how much space is this pickleball going to be?
Kelly Hanczyk: They're going to big. They're going to be that entire 60,000 square plus additional that they're going to be doing in the first phase.
Brad Sturges: Okay. So despite the setback, it sounds like your real strategic attention with the asset hasn't changed that you'd still proceed with the expansion and then look to exit. What would be…
Kelly Hanczyk: Yes.
Brad Sturges: What would change your thinking around that? Given you have a pretty healthy development pipeline of high-quality opportunities on the industrial side, what would there be something you would have in mind, where you would maybe rethink whether or not that's the right area to be deploying capital?
Kelly Hanczyk: Yes. So I think I can sum it up neatly. It's in Richmond, BC. I think we can build for about $300 to $350 bucks a foot, and I think we can access somewhere around between $1,200 and $2,000 a foot on the new 74,000 square feet. So I think the return there is pretty big. I mean, that is pretty valuable land in pretty -- in demand area. There's just no land in Richmond, BC or in Vancouver -- Greater Vancouver. So I think the returns will be well worth it when it's all said and done.
Brad Sturges: Okay. And Rob, just to go back to your comments on the development budget, I think you referenced a couple of numbers there. The $75 million, was that for the budget for ‘23 or was that related to just Regina?
Robert Chiasson: So that's Regina and some of the Hamilton, as well as -- that includes London.
Brad Sturges: Do you have a budget for ‘23 in terms of what you plan to spend?
Robert Chiasson: We're still -- I mean, we haven't committed aside from the Regina development, we haven't committed yet. So we're still refining the budget, but we could be looking at developments of up to about $250 million for 2023, that's total cost, yes.
Brad Sturges: Total cost, yes, where the large portion is being funded by construction loans.
Robert Chiasson: Correct, yes. And then takeout financing -- with the lift we get on development, takeout financing on one project might actually finance the equity piece on the next project.
Kelly Hanczyk: Yes, when you put a 10% or 11% cash-on-cash return, say, on London and then really the valuation on it is probably about a 4% -- 5.25% cap. You've effectively paid for it just in your returns.
Brad Sturges: Last question, just go back to the acquisition pipeline, besides what's under contract, it sounds like you're working on some other kind of unit deal opportunities at the moment. Just wondering if you could expand on some of those opportunities and where they might be?
Kelly Hanczyk: Obviously -- we're always still working on things with our London partner, so that is one that we will be exploring. Another one in BC that we have a potential unit type deal, so two right now, and we're always talking with guys, so it's just like I've always said, it's a longer process to get guys on board and comfortable with the story and what we do. So, yes, I mean, there's no shortage of opportunities. I -- where we're focused right now is closing on what we have, getting the development going. Like I've always said it's been a transition to get us to this institutional quality. And I think if you look at all the stuff that we're bringing in and that we brought in, it is institutional quality and it's Class A, so we'll execute on that, we'll execute on our London renewals where the majority of it is and show the same store lift in that portfolio and execute on our development, which should bring outsized returns. And I think once we continue to execute on all those, capital markets will look to see what we're doing and start to really appreciate what we've done to the company and the story. So that's going to be our focus for the next year.
Brad Sturges: Sounds good. Thanks a lot and I'll turn it back.
Kelly Hanczyk: Okay.
Operator: The next question comes from Mike Marketis from BMO Capital Markets. Please go ahead.
Mike Markidis: Hi everybody.
Kelly Hanczyk: Hey.
Mike Markidis: A lot of sort of small details thrown out, I think you said you had a couple of non-renewals, but roll downs in Alberta. And I know we're expecting pretty good growth in Southwestern Ontario in 2023 and beyond. But with -- I think you're at 70% of your portfolio is now same property. So just looking to 2023, what should we be thinking that as a reasonable assumption on same property growth?
Robert Chiasson: So we're probably looking at about, I'd say, $750,000 give or take on the year.
Mike Markidis: $750,000 of upside on total NOI? Like a [Multiple Speakers]
Robert Chiasson: Yes.
Mike Markidis: Okay.
Robert Chiasson: Net of the downside in Alberta or -- sorry, Western Canada.
Kelly Hanczyk: We have -- yes, we have two in London alone, call it, 90, 110, 150 -- call it a 150,000 square feet where we're probably up, I'd say, $5 a foot on renewals.
Mike Markidis: Okay. Got it.
Kelly Hanczyk: That's just two.
Mike Markidis: Okay. So $750,000 on the total portfolio, and then, I guess, I could -- I pro rata that somewhat, I could get to more of the same property number. But you guys know what that might be, like sort of on a same-property percentage basis?
Robert Chiasson: Not at all.
Mike Markidis: Okay. For Victoria, I don't remember if the detail was in the disclosures. If it was, I apologize. But what was the -- what's the agreed sale price to that asset?
Robert Chiasson: We haven't disclosed that yet. Are we under confidentiality, Kelly?
Kelly Hanczyk: We are.
Robert Chiasson: Okay. So Victoriaville and then the three office properties in Montreal, that's the $70 million as held for sale.
Mike Markidis: Correct. Okay, got it. And then just with respect to Richmond, does the vendor support continue until…
Kelly Hanczyk: Yes.
Mike Markidis: It does? Okay. Perfect. It's good to know. You know what, I think that's all -- oh, sorry, last one, I just -- the development numbers are a bit confusing. So I heard $75 million and then I heard $250 million, and I'm trying to get a sense of what just the spend is projected to be sort of this year for what you think that's going to get started in terms of capital.
Robert Chiasson: Yes. So, as mentioned, there's a number of development projects that we're looking at, not all of which are at advanced stages. However, there is roughly, as I mentioned, about $250 million of potential development projects that could get started this year. Of that, I'd say -- it depends on the start time how much of that gets spent this year, but that's the total -- sorry?
Kelly Hanczyk: I'd say, Mike, so we have Regina, which is probably 312,000 square feet. It's probably about $136 a foot. So it's going to be around $42 million, because that is breaking ground. We've got Hubrey, which is going to break ground. I think that's somewhere around $14 million or $15 million. Those are the two immediate ones that are going to start, I'd say. If we did Windsor and the St. Thomas, which -- quite frankly, St. Thomas is going to go on a little mini-boom, considering the lithium plant that was just announced for their buy Volkswagen. But that's combined 130,000 square feet, probably $150 a foot, $175 a foot on those that -- if anything, those will probably be late fall-type breaking. So I think of what we actually break ground on and have to spend, the two immediate ones are Regina and London on Hubrey.
Mike Markidis: Okay, got it. So that would -- okay. Yes, so that would be like $57 million for those two. And then, I guess, the $75 is any incremental on stuff. Okay, and then the $250 million, I mean, is that more of an aspirational figure? You actually think you'll start on $250 million of projects? There's a pretty big delta between what you guys have described.
Kelly Hanczyk: Yes. I don't think we'll start on, on that much this year. I think what is feasible really for this year is probably the Richmond later in the year. We've got Hubrey and Regina, for sure; possibly the two, the Windsor and St. Thomas, and I would say one of the RFA developments late in the year or early next year. So that could be pushed out.
Mike Markidis: Got it. Okay. That's it for me. Thanks. I'll turn it back.
Kelly Hanczyk: Okay.
Operator: The next question comes from Jimmy Shan from RBC Capital Markets. Please go ahead.
Jimmy Shan: Thanks. So I just wanted to clarify on -- Rob, on your $750,000 NOI comment. So if I take Q4 NOI and I just simply annualize it, it's about $100 million. So what you're saying is at $750,000 to $100 million?
Robert Chiasson: Yes. That would be year-over-year increase, yes.
Jimmy Shan: Yes. So that would just -- and what is that $750,000? Is that rental lift on the leasing securities and the roll -- some of the roll-downs that include partial rent escalation as well? Like how do we think about it?
Robert Chiasson: Yes. So that's the rent on renewals 2020 -- or the rent lift on 2023 renewals that have some -- lost NOI on some two renewals in Western Canada. We may end up -- I mean, we may end up ahead of that. It depends on how some of the releasing goes. Kelly is working on some deals, blend and extends that we could see our same-store NOI significantly up above that. But that's the most likely in-the-bag increase.
Jimmy Shan: Right. Okay. And so then, when I look at the lease maturities like in Ontario, you just mentioned $400,000, most of which is in London at $6 rent. I presume market is somewhere in the $10 range. So, that alone would be $1.6 million if my math is correct, right, roll-down, right? So I guess the roll-down those Western Canadian assets more than offset a lot of that?
Robert Chiasson: I think the roll down -- Kelly, correct me if I'm wrong, but about $750,000?
Kelly Hanczyk: Of renewal, yes. I mean, we've got that on two tenants alone.
Robert Chiasson: Okay.
Jimmy Shan: All right. And then…
Kelly Hanczyk: We have two renewals locked down, and honestly, it's over double the rent of their existing, and that's about 150,000 square feet that are complete.
Jimmy Shan: Okay. Maybe turning to the funding for the acquisitions. I think you mentioned Casselman, you've drawn on the credit facilities. Are you planning on putting mortgages on that facility and then how you're planning on funding the remaining $200 million on the contract?
Robert Chiasson: Yes. So the expectation right now is that we'd add those assets to the unencumbered asset pool and draw on the credit facility to close.
Jimmy Shan: Okay. And how would the rate compare if you were to, sort of, putting a new mortgage on? Like, is there a reason not -- you wouldn't be putting a mortgage on that today?
Robert Chiasson: Well, today, we might look at putting a mortgage on, given where GOC is. Putting a 6% mortgage on wasn't something that we were looking at. But on Monday and, again, this morning, swaps and -- swaps traded down and GOC traded down. Vanilla five-year mortgage financing as of today, probably looking at about 4.5% based on today's bond yields. So we would initially put it on the facility and that doesn't mean that it's the permanent -- that's permanent financing. We'd look then to swap the facility where it made sense, or we could acquire some of the future acquisitions and put vanilla mortgages on them, that's a possibility. However, what we're trying to do is build up our unencumbered asset pool and get ourselves to the point where we can be rated and issue public debt. And so, even taking it down on the facility, if we put a swap on top of it, it brings our interest rate down to be in and around 5%, depending on the length of the swap. So we're not locked into the higher short-term interest rates.
Jimmy Shan: Right, okay. Okay, I understand. Lastly, just on the London asset, the 325,000 square feet, the $50-odd million that you paid for, does that include the addition as well?
Kelly Hanczyk: Yes.
Robert Chiasson: It includes the…
Jimmy Shan: It does?
Kelly Hanczyk: Yes.
Jimmy Shan: Okay. So that would be roughly $155 a foot. Is that kind of where prices are today in London?
Kelly Hanczyk: No.
Jimmy Shan: No? Okay.
Kelly Hanczyk: Rent now is cranking pretty quickly. Here is a crazy example for -- I just was looking at something, and development charges to build new industrial there is $25 a foot. So it makes pricing pretty tough for newbuilds for that, we don't have to pay development charges on our expansions, obviously. But I would say those deals were signed and done when market was nine and change. I think it's over 10 now, it's 10 or 11, 12, and it's moving pretty quickly still. So at the end of the day, I think finding anything under $200 a foot is good. We are looking at others that have pretty low in-place rents, and I'm talking low -- and so, on renewals that you can really get some same-store growth. So yes, I mean, the market is very, very, very tight. There's still pretty big demand going on, because the development charges are really prohibitive to newbuilds there. So I think at the end of the day, we -- we're purchasing those at around a 6% cap, and I think with the amount of land, especially on Wilton Grove -- the one that we have in Wilton Grove, it has on -- of developable land and the tenant that is there is growing and growing substantially and has been. So while it's getting a 150,000 square foot addition and it's 300,000 feet, I think, or that they may need to expand again, which is, again, just bonus for us, especially at that cap rate.
Jimmy Shan: Yes. Okay. Thanks, guys.
Kelly Hanczyk: Okay.
Operator: The next question comes from Himanshu Gupta from Scotiabank. Please go ahead.
Himanshu Gupta: Thank you, and good afternoon. So just to follow-up on the same-property NOI growth for this year, so looks like it will be less than 1% based on some of the math discussed there. So just wondering, what kind of rent escalators do you have on your in-place portfolio right now?
Robert Chiasson: So, it varies. I mean, we've got a piece out west that's CPI. And then on the new stuff that we're acquiring, we're typically looking at higher rental rate growth, 3.5%, 4%. But the real story I think is expiries more so than built in steps in rent. And so it's been a…
Kelly Hanczyk: I think at the end of the day, we can walk you through Himanshu. But Southwestern Ontario has significant rent growth. Our -- most of our Western candidates that has CPI, the new properties that we're buying in London and whatnot have embedded 3% to 4.25% increases. So I think it's probably better offline just to walk you through it all.
Himanshu Gupta: Okay. Fair enough. So we spoke about the industrial lease expires in London, specifically you talk about the write down in Western Canada. What about the I think 186,000 square feet coming due within the retail portfolio. Are you expecting markdowns there as well? Or are you expecting like flats [Indiscernible]? Any color there on the retail portfolio?
Robert Chiasson: [Indiscernible] the portfolio about 186,000.
Himanshu Gupta: So within the retail portfolio, the lease expires, which is coming due in this year, what are your thoughts there?
Kelly Hanczyk: Sorry, maybe the connection is not clear, but which market?
Himanshu Gupta: No, I'm just talking about the retail.
Robert Chiasson: Retail, okay.
Himanshu Gupta: Yes, retail portfolio.
Robert Chiasson: Okay. Yes, I think retail will be relatively flat, we've seen one or two -- seen one or two positive moves on leasing, but overall relatively flat.
Kelly Hanczyk: Yes, it's surprisingly held up. It's held up pretty well, I think at the end of the day. So overall, I think the results here, it was positive. So I think we could safely model like it's probably like 1% overall on the retail?
Himanshu Gupta: Got it. Okay. And then, you know, just turning on the balance sheet and sorry for some background noise there. So turning on to the balance sheet there, so unsecured facility, I think $375 million. My question is, what leverage do you need to maintain to capture the rate? I think there's a BA plus 170 basis point interest rate on that? How much leverage do you need to maintain there?
Robert Chiasson: Sorry, leverage in order to maintain the spread, like F 170? Or just how much?
Himanshu Gupta: That’s right, yes. That’s right, yes.
Robert Chiasson: Yes, so 50% or less I think debt to total assets.
Himanshu Gupta: Okay. And then, you know, looking at the acquisitions announcement and the development spend, do you see yourself below that 50% leverage?
Robert Chiasson: We do, yes.
Himanshu Gupta: We do that, okay. And the effective interest rate on that unsecured facility would be something around mid-6%. Is it fair to say that? You know, looking at where the BAs right now?
Robert Chiasson: Yes, I mean that's -- but I don't know that you can look at it that way, because we will be looking to swap it out and reduce our interest rates, that's the short-term rate, but we can swap it at any time to lock in at a five-year swap this morning was trading at around 4.95% a three-year swap just 5%, 5.25% let's say. So yes, 6.5% as long as we're floating, but we always have the opportunity and we're looking closely at opportunities to fix the rate by way of swaps.
Himanshu Gupta: Awesome. Thank you, guys, and I'll turn it back.
Robert Chiasson: Thank you.
Operator: The next question comes from Matt Kornack from National Bank Financial. Please go ahead.
Matt Kornack: Hey, guys. Your occupancy has been pretty stable in all of your asset classes, but just wondering and it sounds like from your commentary there's no known large non-renewals, but how should we think about occupancy trends in each of the buckets through 2023?
Kelly Hanczyk: So industrial will pretty much stay full at the end of the day. The retail I think is it's been pretty constant since we've had it. So I don't think there's any surprises there. Office, we have -- our three office buildings are good. Our building on Stanley is good, we do have one in St. John that we have for sale that hopefully gets moved. That's always been a little bit of a problem asset for us. So I think overall in the office, it'll probably stay fairly stable as well.
Robert Chiasson: One of our largest tenants in the old Montreal office portfolio is expected to vacate as well. So there could be a little bit of pressure in that portfolio.
Matt Kornack: Okay. And then just with regards to industrial, and then just a broader commentary on the strength of the market, but let's say you did have a non-renewal of the tenant. How long is it at this point to find a replacement and then obviously there's a rent spread probably to your benefit on that?
Kelly Hanczyk: Yes. I don't other than the one we mentioned in Alberta, we don't really have any that I believe will be non-renewals. So we're well working on everything. We did have actually in London one non-renewal end of May, but literally I think it's leased for June 1. So it's pretty easy to lease on the industrial side, especially in those markets. Yes, other than the Alberta one, I don't see anything not renewing.
Matt Kornack: Fair enough. And then just on the spreads, obviously Ontario and Quebec very strong. You leased vacant space in one of your Alberta properties? Can you -- like that was negative 30%, but was there something anomalous to that? Or is it…
Robert Chiasson: Yes. So that was a space that's been vacant at 25,000 square foot space that's been vacant at the Royal Vista property for quite some time. And so as noted in the MD&A where a space has been vacant for a period and there's no rents to compare to. We take the average rents for the building. So the average rent for the building was I think around $16 a foot compared to an $11 or $12 lease. And so that's what led to the negative leasing spread. But I think in Western Canada for the most part, we're pretty close to market rents. But that particular property we had the tenant -- with the tenant vacant on us on 25,000 square feet where the rate was fairly high.
Matt Kornack: Okay. No, that makes sense. On Richmond, the 600,000, can you just remind me, I missed it in your commentary, that's a quarterly figure and that's additional to anything that's being collected through the guarantee, but also is there still a Class B unit issuance associated with that at the time that it's complete? Or…
Kelly Hanczyk: Yes. There shouldn't be, I think we've settled. So at the end of the day, there would be no more Class Bs on that one.
Matt Kornack: Okay, perfect. Thanks guys.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Kelly Hanczyk for any closing remarks.
Kelly Hanczyk: Well, I just want to thank everybody and we'll see you next quarter.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.